Operator: Greetings, and welcome to the Astronics Corporation Fourth Quarter Fiscal Year 2024 Financial Results. At this time, all participants are in listen-only mode. A question and answer session will follow the formal presentation. If anyone wants to require operator assistance, it's now my pleasure to introduce Craig Mychajluk of Investor Relations for Astronics. Please go ahead. Thank you, and good afternoon, everyone.
Craig Mychajluk: Certainly appreciate your time today and your interest in Astronics. On the call with me here today is Peter Gundermann, our Chairman, President and CEO, and Nancy Hedges, our Chief Financial Officer. You should have a copy of our fourth quarter and full year 2024 results which crossed the wires after the markets closed today. If you do not have the release, you can find it on our website at astronics.com. As you are aware, we may make forward-looking statements during the formal discussion and the Q&A session of this conference call. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ materially from what is stated here today. These risks and uncertainties and other factors are provided in the earnings release as well as with other documents filed with the Securities and Exchange Commission. You can find these documents on our website or at sec.gov. During today's call, we'll also discuss some non-GAAP measures. We believe these will be useful in evaluating our performance. You should not consider the presentation of this additional information in isolation or as a substitute for results prepared in accordance with GAAP. We have provided reconciliations of non-GAAP measures with comparable GAAP measures in the tables that accompany today's release. So with that, let me turn it over to Peter Gundermann to begin. Peter?
Peter Gundermann: Thank you, Craig, and good afternoon, everybody. Welcome to the call. We feel our fourth quarter was a very strong close to 2024, which was a year of significant progress for the company. I'll talk first about the quarter, then about the year. Nancy will go through some specifics of the financials, and then we'll turn our attention to a preview of 2025. Operationally, the fourth quarter was a very good quarter for Astronics. Sales came in at $208.5 million, the high end of our forecasted range once again. It's just short of our all-time high, which was way back in the third quarter of 2018, and we achieved this in spite of the Boeing strike, which essentially shut down our biggest program at our biggest customer. The volume was made possible by the continued improvement in our supply chain and operating efficiencies in our operations. On our margins, higher volume had a very positive impact. The progress was masked by some unusual factors or adjustments. I'll come back to them in a minute. Until then, I will speak to adjusted numbers as described in the press release. Headlines were adjusted operating income of 11.4% for the quarter, up from 5.9% last year. Adjusted net income was 8.1%, up from 3.3% last year. Adjusted EBITDA was $31.5 million or 15.1% of sales. The positive margins led to positive cash from operations of $26.4 million in the quarter. This was our first seriously positive cash quarter since before the pandemic. Our aerospace segment was the driver of the results. Sales of $188.5 million was an all-time high, up 11.7% for the quarter. Commercial, aero, and military aircraft continued to drive the results. Adjusted operating margin for our aerospace was 10.2% last year. Obviously, there were some significant adjustments in the quarter. A couple of them were true-ups of situations that were initially covered in our third quarter release. Allodium bankruptcy true-up of $1 million and a warranty reserve for a field replacement program of a business jet came in for another $1.7 million. So $2.7 million total for those two. We had another restructuring charge in our test business of $1.4 million. But the big adjustments had to do with an important step forward in our patent infringement dispute in the UK. We had legal expenses of $6.1 million in the quarter, largely for a damages trial that took place in October. We had refinance expenses of $3.2 million for some steps that we took to protect against the potential of a negative ruling in that damages trial. And then we increased our legal settlement reserve by $4.8 million, which sounds like a loss, but was actually a significant victory for us. Those who have been following us closely know that there was a range of possible outcomes from that ruling. The actual outcome was very much in favor of our position compared to what it possibly could have been if it had gone the other way. But still, the award was $4.8 million higher than our accruals going into the hearing. So that shows up on our income statement in the fourth quarter. The quarter provided a strong close to the year, which as I said was a year of significant recovery for the company. Sales grew to $795 million, up 15.4% over 2023. We've averaged over 20% growth over the last three-year period. Adjusted operating income was 7.7%, up from 2.1% in 2023, and adjusted EBITDA was 12.1% for the year, up from 8.1% in 2023. Finally, demand continues to be strong. Q4 bookings were $196 million, a book-to-bill of 0.94. We figured the Boeing strike hurt our bookings by about $10 million in each of the third quarter and the fourth quarter. Still, we ended the year with a backlog of $599 million. I'm not gonna spend a whole lot of time talking on the issues that are driving our results, tailwinds you might refer to them as, but it's worth mentioning our supply chain continues to improve and perform better and better. Our workforce is getting more efficient and more accustomed to their responsibilities. We talked a while ago about how a significant portion of our workforce has been with us for less than three years, like 45%. Input cost pressures continue to subside. Pricing adjustments are taking hold, and demand continues to be strong. All in all, a lot of tailwinds as we exit 2024 and go into 2025. Now I'll turn it over to Nancy.
Nancy Hedges: Thanks, Peter. I'll now touch on some of the drivers behind our operational and financial results on a consolidated basis, followed by some segment level highlights. We had a very solid quarter of continued growth in the fourth quarter of 2024 as Peter mentioned. Aerospace hit a new record in revenue. The strength of the underlying business and our ability to expand our margins were masked by a few atypical charges we had in the quarter, some of which Peter talked about. So allow me to walk you through those in a little bit more detail. Profitability continues to strengthen with gross profit up $10 million or 25% and gross margin expanded 3.5 points to 24.0% over the prior year quarter, demonstrating three consecutive quarters of margin improvement. Offsetting the benefits of higher volume and improved operational efficiency was an additional $1.7 million warranty reserve related to a product that requires a field modification, which we talked about last quarter. This was related to a custom electrical power system designed specifically for a business jet aircraft introduced in 2018 that was experiencing less than optimal reliability over time. We have been working closely with our customer on this issue and are implementing a fix that both our customer and our team believe will fully address the issue. In addition, we had a $0.8 million inventory charge related to the Lilium bankruptcy. There has been a glimmer of hope as they appeared to have found new financing back in December. But that didn't come through, so they're in bankruptcy again. Adjusting for both, non-GAAP gross margin expanded 470 basis points to 25.2%. Operating income increased $1.1 million despite roughly $12 million in atypical G&A costs including the additional expense to true up our reserves for the UK damages award that Peter mentioned. Elevated legal expenses, and some restructuring charges in our test segment. These included the $4.8 million incremental reserve for the payment of damages for the UK IP litigation award. We also had $6 million in litigation-related legal expenses. And $1.4 million in costs for the further restructuring of our test system segment. Adjusting for all the atypical items, non-GAAP adjusted operating margin for the fourth quarter was 11.4%, a significant improvement over the prior year and the trailing third quarter. Adjusted EBITDA margin was 15.1%. Below the operating line was $3 million in costs related to the extinguishment of our previous term loan that was fully paid down in the fourth quarter. The interest savings resulting from the restructuring of that previous term loan and our ABL debt which were at a blended rate of roughly 9% to the convertible debt, it's at a rate of 5.5%. Results in a $5.6 million annual reduction in interest expense.
Peter Gundermann: Net loss for the quarter was $0.08 per diluted share.
Nancy Hedges: Non-GAAP adjusted earnings per share was $0.48 compared with non-GAAP adjusted earnings per share in last year's quarter of $0.19. And a non-GAAP earnings per share in the trailing third quarter of $0.35 per share. We generated $26.4 million in cash from operations for the quarter. Which as Peter mentioned is our largest cash generating quarter since the third quarter of 2019. The improved cash flow was driven by improved conversion of profits after non-cash adjustments and lower working capital requirements. Net debt at the end of the quarter was about $157 million, down $18 million from the prior quarter. We ended the quarter with $18.4 million in cash, and roughly $188 million available to draw on our recently amended revolving credit facility. As you know, we issued $165 million of 5.5% convertible senior notes on December 3rd of last year. The conversion price is $22.89 per share. Representing a 30% premium over the closing stock price on November 25th, 2024. The notes mature on March 15th, 2030, but are callable and redeemable by us on or after March 28th, 2028. Redemptions require the stock price to be 130% of the conversion price for 20 of the 30 trading days preceding any quarter end, or trading at approximately $30 per share. The notes are classified as a long-term liability on our balance sheet at the end of the year. The near-term potential dilution impact on EPS is about 7.2 million shares. However, it's important to note that once callable or if redeemed, we do have the flexibility to settle the notes in cash as well as stock. And our intention is to minimize dilution by, at a minimum, effecting a net share settlement with the $165 million principal paid in cash. Measurably reducing the dilution effect. In fact, given our outlook on improving profitability, and the very favorable ruling in the UK, we feel we'll be in a strong position to cover the notes with cash. We also plan to use some of our available liquidity to reinvest in the business, to be in a position to be able to meet our growth plans. Capital expenditures are expected to be approximately $35 to $40 million in 2025. Which is a higher level than our last few years while we were managing our liquidity through the pandemic.
Peter Gundermann: In addition to catching up on deferred spending,
Nancy Hedges: we are also planning a facility consolidation and additional capacity to allow for future growth. We currently have about $216 million in available liquidity and have nothing currently outstanding on our revolver. We expect that given our expectations of improving profitability, that we will be in a position to convert our asset-based revolver to a cash-based revolver, that will provide greater financial flexibility at some point in the not-so-distant future. We could use that excess liquidity in other efforts, including acquisitions or to buy back shares, which we believe are trading at a discount. Or as I noted previously, to settle some or all of the convertible bonds in cash. Moving on to our segment level results. Let me cover some key factors driving profitability within our aerospace segment. Our aerospace segment is roughly 90% of our business. The segment had record sales in the quarter of $188.5 million, which is an 11.7% increase over the fourth quarter in 2023. And 6% up over the trailing quarter. Growth was driven largely by a $16.7 million increase in commercial transport sales, primarily related to increased demand by the airlines for cabin power and in-flight entertainment and connectivity products. This was somewhat offset by lower sales of commercial lighting and safety. Operating profit for aerospace improved $2.5 million year over year. Was also up $2.5 million or 18% over the trailing quarter. Adjusted operating profit was $30.2 million in the quarter compared with $17.2 million in the prior year period. And $25.3 million in the third quarter. On an adjusted basis, aerospace demonstrated 45% operating leverage on the higher volume from the third to the fourth quarter. Adjusted operating margin improved 5.8 points year over year to 16.0% and improved 180 basis points sequentially. Turning to the test segment. The test business operating profit was roughly breakeven, but modestly improved over the fourth quarter of 2023. The 2024 fourth quarter had $1.4 million in restructuring charges. Although litigation expenses were down about $700,000. We expect to begin realizing approximately $4 to $5 million in annual cost savings beginning in the first quarter of 2025 resulting from restructuring. However, we are also anticipating a weak first half for this business. Timing on the 45-49T army radio test program will define the profitability profile for the test business this year. Obviously, the sooner production kicks in, the better. Test adjusted operating margin was 7.3%. An improvement over the 2.5% of the comparative quarter demonstrating the benefits from the restructuring initiatives implemented during 2024. And with that, let me turn it back to Peter. Peter?
Peter Gundermann: Thank you, Nancy. Most of you are aware that we have been involved in a lengthy patent infringement suit brought by European plaintiffs relevant to our MC Power product line for many years since way back in 2010. This situation has gotten more than a little attention over the last few months, so I thought I'd provide a little update as to where we stand today. Legal proceedings over the years have been held or are being held in the US, France, Germany, and the UK. In the USA and France, the patent was found to be invalid. So the French decision is being appealed. We expect a decision there in the coming months. Germany dismissed some of the claims of the patent, but upheld others and found that Astronics had been infringing. The company paid $3.5 million in penalties in each 2020 and has taken a reserve of $17.3 million to cover remaining estimated damages and associated interest. We expect but don't know that proceedings there may commence in 2026. The UK court, however, found the entire patent to be valid and found Astronics to be infringing. The damages hearing was held in October. We had reserved $7.4 million to cover anticipated damages but the point of claimed damages of up to approximately $105 million in that hearing. That's a big difference. The decision came down on February 21st requiring Astronics to pay damages of $11.8 million. Consider this a very favorable ruling compared to the range of possible outcomes. The company expects the damages due to be paid in the first half of 2025. There will be a couple of follow-on hearings in coming months to decide certain other issues peripheral to the ruling. Such as the award of possible interest charges and assignment of legal fees. We do not have a basis to estimate what these may be at this time. There's a line of logic that says they could be zero or they could be somewhat substantial, but we do not expect them in any event to be any more than the damages award. An appeal to a higher court is possible in the matter brought by one or both of the parties. Such an appeal would likely be heard in the first half of 2026. It's important to understand that all of the subject patents expired years ago and do not restrict the business of our company today in any way whatsoever. So with that being said, as we look at 2025, we're feeling really good about our position here early in the year. Our balance sheet liquidity position is the strongest it has been in five years. Our backlog is at a record high for the beginning of any new year. Our supply chain and employee base is increasingly effective, productive, and efficient. Our volume has been ramping and our margin profile has been improving along with it. We are maintaining our initial 2025 sales guide at this point of $820 to $860 million. We are expecting first quarter sales to be in the range of $190 million to $205 million. So a little bit lighter than the quarter we just experienced. We are expecting sales to ramp as the year progresses, especially in the second half. That concludes our prepared remarks for the call. We can open up the line now for questions.
Operator: Ladies and gentlemen, it may be necessary to pick up your handset before pressing the star keys. And our first question comes from the line of Jonathan Tanwanteng with CJS Securities. Please proceed.
Jonathan Tanwanteng: Hey, good afternoon, guys. Thank you for taking my questions and congrats on the UK case coming out a lot less than the upper end there. I guess my first question, if you could, could you talk about the potential, I guess, for the other open-ended cases out there to have damages claims in or around that neighborhood or to that scale. Is that possible at this point, or do you think you have a good handle on what the damages could be?
Peter Gundermann: It's a bit of an open question, Jonathan. In France, it could be zero. You know, if the appeal court maintains the dismissal of the patent, as it stands, and the decision comes down that way, then we're done in France. Just like we're done in the US. If it comes back that they want some further investigation by a lower court to discuss the validity of the patent, that'll kick us back into some kind of litigation cycle that could go on for some time. Where we have to decide or the court will have to redecide if the patent is valid and if it's valid, if we're infringing, and if we're infringing what the damages could be, and it's just hard to predict how that could end up or how long it could take. I mean, the way things have been going, it realistically could be another couple of years. In Germany, it's relatively advanced, but there they found there's no question about patent validity. There is a question about damages. And, we had been thinking that both of those will wait until the UK issue is resolved. This UK issue obviously went in our favor, in a very big way. So we don't know what the other side's gonna do. We expect to figure that out over the next few months. Our guess is that if there's an appeal, that the other two will slow roll while that appeal takes shape. But I think if you step back and you look at it, we were concerned on the heels of our October hearing that we might face a big loss here. In retrospect, it's a pretty big win. And you know, it's possible that we will have strong wins in the US and France and the UK here going forward, and then the question becomes Germany. But the other side has been pretty aggressive throughout this ordeal and has been making pretty big claims of the legal system. So far, you know, we're pretty happy with how it's worked out. We're hoping for more of the same.
Jonathan Tanwanteng: Okay. Great. Could you talk a little bit more about the increased CapEx this year, what you're planning to fund, and maybe the cadence of cash flows? Nancy, if you could touch on that?
Peter Gundermann: Wanna talk, Nancy?
Nancy Hedges: Yes. So the CapEx will I think will be fairly level loaded throughout the year. We have some, you know, facility consolidation that we're planning to do here, which is going to be the, you know, the primary driver for the increased level of CapEx that you're seeing compared to what our kind of our normal range is. Our normal range tends to be in the $12 to $20 million a year pre-pandemic. Depending on what we had going on. So that uplift that you're seeing is a combination of the deferred, you know, normal deferred maintenance from the last several years that we're catching up on. And then another, you know, $15 to $18 million net of some tenant improvement allowances. To build out a facility to allow for expansion as we grow the business.
Peter Gundermann: I would just add that we've really had the company on a starvation diet for the last, you know, four years as our liquidity situation was really tight. And you know, Nancy said our normal capital expenditures were kinda $10 to $20 million. We've been living in the, you know, $3, $5, $7 million range, which is not sustainable long term. We feel like we've made it through and we feel like we're gonna be cash positive. And I think the fourth quarter was a really good demonstration of that. So it's time to, you know, kinda turn the corner a little bit and make investments where investments need to happen to execute on the opportunities that are ahead of us in the business.
Jonathan Tanwanteng: Great. Thank you. But last one if I could take advantage. Any thoughts on, you know, the various military programs that you have out there, I guess the topic is yours with potential defense budget reallocations or changes if you think any of those programs might be affected?
Peter Gundermann: Not that we're aware of. I would just categorize military programs into three major buckets on the aerospace side in particular. We do a lot of spare parts for aircraft that are flying and have been built over the last twenty, thirty years, and those aircraft are critical. They fly every day. So those spare parts sales are gonna continue as best we can tell. And then we do more and more work on small drone-like aircraft, which are increasingly in favor. So we would think that that scenario might get more funding, not less. The big program, though, that has everybody's attention is the FLRAA program, the B-280, and that's a big targeted investment for the US Army. It's the biggest aviation program going. And it's important to us. And you know, we think it's got pretty broad support across the army and across the government. But, you know, we'll have to wait and see how that shapes out. Certainly, the actions of the government have been a little unpredictable so far, but we think that program has pretty strong support.
Jonathan Tanwanteng: Great. Thank you.
Operator: Thank you. And the next question comes from the line of Michael Ciarmoli with Truist Securities. Please proceed.
Michael Ciarmoli: Hey, evening, guys. Nice results. Thanks for taking the questions. Peter, just on the 2025 outlook, any color you can give us on the ARO test split? I know you said test is gonna be weaker in the first half and probably more dependent on the ramp of the army radio program there and then I mean, the margins, I guess, even on the guidance to the margins in Aero really strong. I think maybe one of the best you guys had on record. Any color on kind of adjusted margins into 2025?
Peter Gundermann: Well, you know, we've been playing a long game here, maybe longer than we expected. Thinking that the business was coming back and being a little bit, you know, wishing it was coming back faster, but it came back pretty steadily and strongly over the last eight to ten quarters, really. And we see that kind of continued split. So kind of 90/10 is probably a reasonable assumption going forward. We expect Aero to continue to have pretty strong margins and pretty strong results in that I guess our feeling is that there's some upside potential to that forecast largely in the area of commercial transport production rates at Boeing. You know, we built our current forecast on the assumption of 25 737s a month, for the first eight months and 30 for the last four. And at this point, the indications are that Boeing's gonna exceed that. Obviously, we're not limiting Boeing to those numbers. If they want to order more, we'll build more, but you gotta put something into a forecast and that's the assumption that we use. So I think there's upside potential to that part of our business. And on the test side, the real issue is this 45-49T radio test program that Nancy was talking about. Which we're hoping gets into production in the fourth quarter. That's gonna be a significant contributor. You might call it a game changer for our test business. It'll be very obvious in 2025. The question is when it's gonna get going or, excuse me, 2026. The question is when it's gonna get going in the end of 2025. We're hoping for a whole quarter of contribution in that business.
Michael Ciarmoli: Okay. And then what should we expect with, I know it's a very fluid environment, but tariffs, I think you kind of back in the it was the 2019 period or so, you kind of called out a $10 million impact. Any thoughts around tariffs and how you might kind of respond to that?
Peter Gundermann: Well, it's a changing picture as you know. So it's a little premature to say for sure. We feel that our supply chain over the years has kind of fixed itself and minimized its impact or its dependence on China. I mean, we use a lot of electronic components. So, ultimately, China is the source of a lot of things that we do. But more and more of the value add has been moved out of China into other countries over the years. Mexico isn't much of a big deal to us from a supply chain perspective. We do have an operating company in Canada which will, to a large extent, ship to the US. So, you know, that will be a topic for discussion, but most of the contracts, we would think would obligate the buyer or the importer to actually pay those tariffs. So we don't think that's a big deal, but then again, you know, there could be. We do a lot of sales to Europe. We do a lot of sales to Asia and other parts of the world. So depending on how out of control this whole situation gets, it could be quite fluid as you said.
Michael Ciarmoli: Got it. Okay. And then last one for me. Just on the retrofit side of the market, Peter, what do you guys see in there? You're kind of reading and hearing that, you know, there's some of the challenges with business class seats and just a lot of the capacity being used up to support some of the older planes flying is it's creating some challenges on the retrofit market. Anything you're seeing in terms of supply chains or bottleneck issues there, or are you kind of seeing good demand and if there's any color on growth in that portion of the business in 2025?
Peter Gundermann: It's been strong in part due to the, you know, aircraft production problems, both at Boeing and Airbus. So airplanes have been pulled out of the desert and modernized at a pretty strong clip. One of the nice things about our business, as you know, Michael, is the eternal quest for updated consumer electronics basically, and the things that people want to do in airplanes. So as those new seats get developed, there's a continual push for new updated technologies, and we benefit from that. It's a kind of a unique business where we replace a lot of our product, not necessarily because it doesn't work, or needs to be fixed, but because the technology changes. So it's a nice place to be. And as those new seats are developed, they go into both new airplanes and into older retrofitted ones. And we find opportunities along with the seat manufacturers for the benefit of the airlines.
Michael Ciarmoli: Got it. Alright. Perfect. Thanks, guys. I'll jump back in the queue.
Peter Gundermann: Alright.
Operator: The next question will come again from the line of Jonathan Tanwanteng with CJS Securities. Please proceed.
Jonathan Tanwanteng: Hi. Thanks for the follow-up. I was just wondering if you saw the order rates from Boeing rebound. They got back into production, or are they still burning off some inventory there? And kind of how do you see that order run rate progressing through the year?
Peter Gundermann: Yeah. The orders actually haven't we haven't got a whole lot of new orders. What we do have is rescheduled old orders. So bookings have been a little bit light in the third and fourth quarter. As I mentioned, if you look back at those results, they look like a drop-off from the beginning of the year. I think a lot of that is Boeing anticipating a strike and rescheduling existing orders. But the cadence of deliveries that they're requesting is pretty strong. I mean, it's in line with what they're saying, and they're moving towards that 25 or 30 ships a month, from my perspective, more quickly than we might have expected. So it's encouraging. I think they've got some momentum, and that's a good thing. Now the unknown there that we're gonna have to balance out is inventory that's in the system. We think they've got, you know, two or three months of inventory of most of our products for 737 in various places in Seattle. So we expect that our turn-on rate will trail their production rate to some extent. And that's why we're, you know, putting in our forecast 25 ships a month for most of 2025. But in general, you know, we're encouraged by the dialogue. We're encouraged by the discussion. We've had a lot of positive attention from Boeing in our facilities, making sure we're ready to go. And I think we're on a good track. It's potentially gonna be a good story for 2025 unlike what it's been for the last couple of years.
Jonathan Tanwanteng: Got it. Thanks. Could you give us an update on municipal transit markets and what you're seeing out there, especially as you've seen a lot more of these back-to-work, return-to-office tech programs?
Peter Gundermann: Yeah. We're hearing a lot of that. I'm looking for data. There's some data that's beginning that, you know, return to office is picking up momentum in certain municipalities. But it hasn't materially changed the market at this point. As far as we can tell. I think programs in our transit test market are still alive, we think, but they regularly get delayed to the right. So we're hopeful, though. I think, you know, it does have some real momentum. It's in places that need it, frankly. So we're hopeful. It's a watch item.
Jonathan Tanwanteng: Got it. Thank you.
Operator: Thank you. Ladies and gentlemen, we will conclude the question and answer session, and this will conclude today's conference. You may disconnect your lines at this time. Enjoy the rest of your day.